Operator: Good morning, and welcome to the Weingarten Realty Investors, Fourth Quarter 2016 Earnings Call. My name is Brandon and I’ll be your operator for today. At this time, all participants are in a listen-only mode. Later, we will conduct a question-and-answer session. Please note this conference is being recorded. And I will now turn it over to Michelle Wiggs. Michelle, you may begin.
Michelle Wiggs: Good morning, and welcome to our fourth quarter 2016 conference call. Joining me today is Drew Alexander, President and CEO; Stanford Alexander, Chairman; Johnny Hendrix, Executive Vice President and COO; Steve Richter, Executive Vice President and CFO; and Joe Shafer, Senior Vice President and CAO. As a reminder, certain statements made during the course of this call are forward-looking statements within the meaning of the Private Securities Litigation Reform Act. These statements are based on management’s current expectations and are subject to uncertainty and changes in circumstances. Actual results could differ materially from those projected in such forward-looking statements due to a variety of factors. More information about these factors is contained in the Company’s SEC filings. Also during this conference call, management may make certain references to certain non-GAAP financial measures such as funds from operations or FFO, both core and NAREIT, which we believe help analysts and investors to better understand Weingarten’s operating results. Reconciliation to these non-GAAP financial measures is available in our supplemental information package located under the Investor Relations tab of our website. I will now turn the call over to Drew Alexander.
Drew Alexander: Thank you, Michelle, and thanks to all of you for joining us. I’m pleased to announce yet another great quarter of sitting close to a very successful year. Our operations remained very strong in spite of headwinds from the sports authority and other tenant failures with solid same property results and outstanding rental rate increases. We completed our best year for acquisitions, the quantity of our purchases about $515 million combined with the unquestionable quality of this real estate 2200 West Lake in Seattle, Deerfield and the Palms in South Florida and Scottsdale Waterfront had a measurably positive impact on the overall quality of our portfolio. Over 220 million of dispositions further improved our portfolio of quality. We continue to redevelop and we completed two of our new development properties Wake Forest and Nottingham during 2016. We’ve also backfilled the new development and re-development pipelines with some really nice projects. So 2016 was a great year. Now let me be a little more specific with respect to our new development activities. As I mentioned, we completed Wake Forest in Nottingham. I want to thank our team as Nottingham especially is a very successful project with us exceeding our proforma returned rather [markedly] due to higher than anticipated rental rates stabilizing at a return of 8%. The Whittaker in West Seattle is a six storey mixed use project being co-developed with Lennar who anticipates delivering to us the retail portion of this project shortly. Our wall to re-development in the DC area continues to move forward with the closing on a portion of the land expected to occur early next year. Development of the majority of the retail component is projected to commence in 2018. Last quarter, I mentioned our new development opportunity in the DC area, the Gateway Alexandria. Gateway is a mixed used project with 282 residential units and 100,000 square feet of retail anchored by 62,000 square foot Harris Teeter, a division of Kroger. There is also an office pad that we will sell at a later date. This is a high barrier infill site with impressive demographics that has taken seven years to entitle. This site is served by an extensive bus system, new major employment centers and metro rail stations, most notably the [Pinnacle]. Our total net investment is estimated at around $180 million. We’ve hired a prominent DC firm to handle the residential for us and after completion we anticipate that we will sell the residential component which is about three quarters of the investment. We feel the barriers to entry in DC make for great real estate and we are excited to announce that in December we executed a partnership agreement with the same developer who are using on Gateway for the development of another project in DC. Columbia Pike, a premier, mixed-use project in Arlington, Virginia will include 365 multifamily units and 72,000 square feet of retail anchored by a 50,000 square foot Harris Teeter super market. The company’s net investment upon completion is estimated at $135 million before the sale of the residential component. We expect to purchase the land and commence development in April of 2017. More detail on these strong locations are on our website. We also wanted to announce an exciting redevelopment project at our prominent River Oaks shopping center here in Houston; we’ll be developing a 30-storey luxury high rise with around 10,000 square feet of ground floor retail. The tower will include over 300 residential units and the total project cost will be approximately $150 million. This is an incredible in-field location adjacent to the premier residential community in Houston with easy access to Downtown, the Galleria and all other parts of the city. This addition to our property will clearly benefit all of the merchants and greatly enhance the value of this already outstanding asset. We’ve engaged the Hanover Company, a nationally renowned residential developer and expect to start construction in the first quarter of 2018 with stabilization estimated in 2021. It’s important to understand the residential business will not be a material part of our portfolio. For the two new DC projects, it made the more sense for us to control all aspects of the developments. This allows us to ensure that the retail component will be properly integrated to maximize the ultimate value and success of the project. We plan to sell the non-retail components after stabilization. In the case of the River Oaks tower, this unique asset has been our flagship property for some time. It’s the third oldest shopping center in the United States and we consider it quite special. We strongly believe these projects allow us to create value in outstanding markets that are strategically important to our future growth. We are clearly sensitive to the risks associated with these projects and accordingly have adopted a self imposed limit of $500 million of investments in residential properties. We look forward to discussing these exciting opportunities with each of you at future meetings and conferences. Great progress in new development, a terrific quarter and terrific year. Steve, the financials.
Steve Richter: Thanks Drew, and good morning to everyone. I’m pleased to once again report strong earnings results. Core FFO for the quarter ended December 31, 2016 was $79.04 million or $0.61 per share, an increase of 8.9%. The increase in core FFO over the prior year was primarily due to increases in net operating income from our existing portfolio, incremental income from our new developments and redevelopments, our highly successful acquisition program and reduced interest expense from favorable debt refinancing. These increases were partially offset by the impact of our disposition program and dilution from additional common shares outstanding. For the full year, Core FFO was $300.9 million or $2.34 per share for 2016, an increase of 7.3%. A reconciliation of Net Income to NAREIT FFO and Core FFO is included in our press release. We remain committed to a strong capital structure which was enhanced by the issuance of a $133 million of common shares under our ATM program during 2016 and the completion of our $250 million, three and quarter percent bond deal in the third quarter. At year-end, our net debt to EBITDA was 5.88 times and our debt to total market cap was 33.7%, supported by a well laddered maturity schedule. And finally guidance for 2017. We expect that NAREIT FFO will be in the range of $2.36 to $2.42 per share and Core FFO will be in the range of $2.37 to $2.43 per diluted share. This assumes that both acquisitions and dispositions will be in a range of $125 million to $225 million and that new development and re-development investment will be in a range of $135 million to $235 million. Same property NOI is expected to grow in the range of 2.5% to 3.5% in 2017. All of the details of our guidance are included on page nine of our supplemental. Johnny.
Johnny Hendrix: Thanks Steve. Our operating environment remains very similar to the last several years. We see very limited new supply, relatively low fall out, a modest retailer demand and an expanding shadow supply. We’ve all read headlines of store closings for Macy's, Sears, Kmart and several other mall-oriented retailers. These have not impacted us yet. Most of our tenants super markets and discount clothing operators continue to grow and prosper. Today, our super markets average $630 per square foot driving over a million customers to our shopping centers every year. The portfolio is well positioned to continue to deliver excellent results. We are in densely populated, high income trade areas. Houston is a good example. Even with the challenges of low oil prices, our Houston properties continue to show great resiliency. At quarter end, our same property pool in Houston was 98% leased. For the total Houston portfolio, rent growth for the quarter was over 15% and was over 23% for all of 2016. Re-merchandising of the sports authority boxes is much as we had anticipated. We have six vacant at the end of the fourth quarter. We leased one of those to Stein Mart and are negotiating leases and letters of intent for the others now. I expect one or two of these spaces will be commenced late in 2017, but most will commence in 2018. We were quite pleased with the occupancy gain we produced during the fourth quarter. In December, we purchased a vacant 96,000 square foot building that was formerly owned by Target. The building is part of our Fiesta Trails shopping center in San Antonio, Texas and is a great redevelopment opportunity. That building is now included in the occupancy calculation. So adding 96,000 square feet of vacant space, while still increasing occupancy to 94.3% is a nice accomplishment. Also significant is our shop occupancy which rose during the quarter to 90.6%. Regionally, our Atlanta and Raleigh properties continue to excel with occupancy at 97%. During the quarter, we generated good activity in California leasing a couple of key vacancies that brought our occupancy up to 95%. As we look at occupancy during 2017, we anticipate a modest drop in the first half of the year building back up to the range of 94% to 95% by year end. We continue to aggressively recapture spaces where we can produce long term improvement in a tenant quality and NOI growth. Some of these will be seen in our remodeled schedules while others will not. Let me give you a couple of examples. We anticipate terminating a super market in San Jose California. The current tenant has over 20 years of control. By regaining possession we’ll increase the rents more than $15 a square foot and increase the overall sales in the shopping center. We will not tear down any walls or add any square footage so will not be in a redevelopment schedule, but it’s great upside. We are also close to signing a new lease on a fitness facility for 53,000 square foot space we recaptured in February in the Pacific Northwest. Here, we anticipate doubling the rent and securing a great new tenant. Naturally we continue to see demand for discount closing retailers like Marshalls, Stein Mart, Nordstrom Rack, Burlington and TJ Maxx. Other active box tenants include pet supplies, sporting goods, niche super markets, fitness and home furnishings. On the shop side, we are leasing to casual dining, quick service restaurants and service tenants from categories like health, beauty, medical and financial services. Rent growth has been very strong. During the fourth quarter we increased rents for new leases by 22% and renewals were up 11%. For the entire year, we produced a combined rent growth of 13%. We believe 2017 will continue to produce good rent growth. Same property NOI continues to highlight the quality of our properties. Even with Sports authority headwinds, we produce growth of 3.8% for the quarter and 3.3% for 2016. I have always thought base minimum rent was the most significant component of same property NOI. It doesn’t have all the noise associated with bad debt or timing or reimbursements. Our BMR was up 3.4% during 2016, a good indicator of high quality growth. As Steve mentioned, we are anticipating same property NOI growth for 2017 in the 2.5% to 3.5% range. Much like occupancy, we expect more moderate growth in the first half of the year as we feel the impact of several terminations we discussed, then increasing as new tenants open throughout 2017. This is some short term paying for long term gain. The company’s redevelopment program continues to provide great value. We completed seven redevelopments in 2016 and currently have nine active projects. The total investment for these 16 assets is $94 million generating an 11% return. We anticipate increasing the active projects by 10 to 12 centers in 2017. The most significant new add during the year will be our Winter Park Center in Orlando. We are in the process now of terminating four tenants about 50,000 square feet. We should have the building cleared out by the middle of 2017 and will start construction sometime after that. This will be an exciting redevelopment, repositioning the center for a fresh super market component in the most attractive neighborhood in Orlando. We will continue our aggressive approach of improving our assets for the long term benefit of our shareholders. 2016 was a very productive year acquiring new properties. During the year, we invested $515 million in high quality assets that we believe will produce over 3.5% compound annual NOI growth. Our success during the year was really highlighted by three acquisitions. We invested $51 million at 2200 West Lake anchored by Whole Foods. This asset is in a mixed used development in the heart of the tech boom in the West Lake Union Section of Seattle. Also, we purchased two great assets in South Florida that we believe are already right to remerchanndise and redevelop. Deerfield Plaza is anchored by a very successful 30-year old public store. We invested $92 million here and overtime we believe we will add more density to the project and remerchandise the in-line tenants. Finally, we purchased the Palms at Town & Country for $285 million. It’s a 664,000 square foot shopping center with significant long term redevelopment opportunities in a trade area with very strong barriers to entry. The project is anchored by Publix, Marshals, Nordstrom Rack, Dicks, Total Wine, CVS, Forever 21 and Kohl’s. We are excited. These opportunities will provide excellent value for our shareholders. As interest rates have been edging higher, we’ve been cautious pursuing additional acquisitions. During the last 90 days, we’ve definitely seen a growing gap between pricing of high quality core assets and lesser quality properties. So far there hasn’t been evidence of higher cap rates for better assets. These are still trading for cap rates in a range of 4.25% to 5.25% in coastal markets and 4.5% to 6% in non-coastal markets. Cap rates for B-quality assets seemed to have moved to a range of 7% to 8%. We will continue to remain cautious looking for high quality assets where we can generate above average NOI growth. So overall, 2016 was a very productive year and all our Weingarten associates are excited about meeting the challenges ahead in 2017. Drew?
Drew Alexander: Thanks, Johnny. Another great quarter, another great year. Outstanding capital recycling with great acquisitions and strategic dispositions. Looking forward, we believe that high quality acquisitions will remain highly competitive and will be very selective in what we buy and what we sell. I am very excited about our new development and redevelopment opportunities and confident our transformed portfolio will continue to post robust results in spite of some of the headwinds we are encountering. We remain very bullish on our ability to create value for our shareholders. Great people, great properties and a great platform equal great results. I thank all of you for joining the call today and for your continued interest in Weingarten. Brandon, we’ll be happy to take questions.
Operator: Thanks Drew. And we will now begin the question-and-answer session. [Operator Instructions]. And from Citi we have Christy McElroy. Please go ahead.
Christy McElroy: Hi. Good morning everyone. Just regarding the two new DC mix use developments, given that there are larger, just wondering if you could break out the expected returns by projects both before and after the assume sales of non-retail components? I’m assuming that the returns that average into the 6% on page 12 of this supplement are based on the economic before the sale of the resi and office components, just wondering if you could break that out before and after. And then also if you – did you say the expected return on the River Oaks residential tower?
Drew Alexander: Good morning. Christy, it’s Drew. The expected return on River Oak is around 6%. It’s a little challenging to look at a property if this vintage in terms of land, but given the amount of new capital that’s in that 6% range. As to the two DC projects, it's sort of similar numbers that when we are done and we sell off the multifamily which we’d anticipate being below 5% cap rate. That creates a lot of the property and increases our returns pretty nicely on the remainder, getting it up to the comfortably into the sixes and if things go well maybe as much a seven.
Christy McElroy: Okay, great. And then how you thinking about funding, development and redevelopment trend over the next couple of years given the addition of the two large DC projects; River Oaks, residential tower and then I think about another 10 to 12 redevelopment projects to be added to the pipeline this year. Just wondering if there is a need to raise equity to maintain the current leverage levels?
Drew Alexander: I don’t think there’s a major need since we’re looking at a lot of multi-years and as was mentioned, we’re going to be pretty selective on adding anything huge to the new development pipeline. Likewise, we’re not seeing a lot that meets our criteria acquisition wise and would -- but hope to do some, as well as disposition wise. So we’ve got your very limited maturities and I think plenty of time to figure it out and really as I said in my prepared remarks we’re going to remain discipline. So, we are very pleased to announce these three projects, but these three projects are not like any sort of run rate kind of thing. We have completed a lot of the things that we’re working on and the pipeline is not real extensive at this point in terms of things that meet our criteria. So the good news part of that is I think the funding apart from Mr. Richter's is pretty simple.
Christy McElroy: Okay. Thank you so much.
Operator: From UBS we have Jeremy Metz. Please go ahead.
Jeremy Metz: Hey, guys. Good morning. In terms of the acquisitions and dispositions, the yield spread is about 200 basis points in 2016. And I'm just how we should think about the activity that you potentially could do in 2017. We’ll be selling slightly better quality at this stage and therefore we should think about that’s spread narrowing or just how we should think about that relative spread given some of your comments about cap rates winding out here in the last call in 90 days?
Drew Alexander: Good morning. Jeremy. It’s Drew. I would say basically is best we can forecast those two things probably cancel each other out. That will be about the same. I think we are not selling as much of the weaker quality but as we said and you observed the weaker quality stuff cap rates have moved up, so I think on a longer term basis it's a pretty good estimate. As I’ve said before in any given quarter the mix of what we sell can vary dramatically. We’ve also got some unimproved land working which you add that into the mix it would helps the corporate dilution numbers, even though we appreciate its not indicative of cap rate. So it’s probably a pretty good estimate that it stays about the same.
Jeremy Metz: Okay. Appreciate that. And then Johnny in your opening remarks you talked about some expanding shadow supply, meanwhile some of the mall operators have talked about increasingly, looking to take your traditional shopping center tenants such as groceries and discounter. So, just wondering how you’re thinking about this potential risk demand going forward as you guys way taking on additional development especially some of the larger scale projects as we move late into the cycle here?
Johnny Hendrix: Good morning, Jeremy. It’s something that is weighing on our mind. It’s kind of like a dark cloud that seems to be staying away from us. We are not really impacted by much of it today. I do think over time we will be and I think real estate is very local and we’ll have to look at the opportunities that the mall developers [Veritas] has to compete with us. Over time, I think our assets have a lot of what our customers want and that is convenience, a little bit lower pricing. But we certainly are anticipating it will impact us in the future. I just don't have a way to gauge that for you or give you any specific evaluations.
Jeremy Metz: Appreciate the color. Thanks guys.
Operator: From Bank of America we have Craig Schmidt online. Please go ahead.
Craig Schmidt: Thank you. I'm just wondering given the competition for land, are we going to see more mixed-use projects in your ground-up development arena particularly on either coast?
Drew Alexander: Good morning, Craig. It’s Drew. I think the short answer to that is yes, tempered by the fact as I said in my prepared remarks that we discussed and we initiated with our board a limit on how much residential we want to be actively involved in our balance sheet, and with the three projects that we talked about earlier, many which we talked about it in other conferences and River Oaks pretty widely known here in Houston real estate circles. Those three projects basically fill up that limit. So future mixed-use project that we get involved in would have to be structured different, more like we're working on at Walter Reed where we’re just doing the retail or like we structure in Seattle where we own condo interest. But the interest from tenants today in new construction that you can afford is in densely populated urban areas which requires a mixed-use component and requires structured parking because it can't afford the land even in a place like Houston, land costs near downtown Galleria area $75 or $100 a square foot. You can't you can't build the great level of shopping center on that. So, as I said before we really don't see adding tremendously to our new development pipeline in the three projects that we've announced here in the last couple months, so the results of years of work just have to come together at the same time. We will be open to new opportunities but we don't see anything like this kind of level, but what we do see will be more mixed-use. This also bodes well for the existing portfolio because the rents that are necessary for successful completion of a mixed-use project are quite high relative to our emplacement. So, I think things are generally very good but I do want to be as clear as I can that these are great projects, there's plenty of information on our website, years of work but we don't see announcing projects like this as a routine event.
Craig Schmidt: And just on the lower level of acquisitions in 2017 relative to 2016 is there anything other than the changing transaction market that's guiding you to a lower level?
Drew Alexander: I’ll maybe take a shot at this and then Johnny can amplify. It's a combination of things Craig, as Johnny said in his prepared remarks we've not seen any movement in cap rates for major quality properties. So looking at the possible interest rate moves out there, inflation signs et cetera, while we would still look at good things, we’re being very sensitive to tenant quality, rents relative to market, and the opportunity to increase rents either through redevelopment or just being below-market. So it makes it tighter and tighter. We feel 2016 was a fabulous year. We’re still little bit of disbelief that we did so well even though we did a long time ago. So I think those are the things that factor into the fact that we are not expecting a huge amount in 2017 because its going be very disciplined.
Johnny Hendrix: Hey, Craig, this is Johnny. Like Drew said, we would love to repeat 2016. The truth of the matter is when we're looking over the landscape of available assets today, we just don't see a whole lot that we’re really excited about where we can apply a platform and grow the NOI at a 3.5%, 4% rate. We’d love to invest some more money but we just haven't seen that product coming out into the market so far this year, so I guess it will be a wait and see.
Craig Schmidt: Okay. Thank you.
Operator: [Operator Instructions] And from Jefferies we have George Hoglund. Please go ahead.
George Hoglund: Thanks. Most of my questions have been answered, but just in terms of the retailer outlook and potentially on watchlist any other tenants you kind of worried about?
Drew Alexander: Hey, good morning, George. It’s pretty much the same list of tenants that we've been looking at for the last several years. We certainly concerned about electronics, the recent news for our friends at Payless has been pretty negative. We have 25 stores with them. About half of those are joint ventures. So it’s about $1.5 million in annualized BMR, not super concerned that that’s going to be a huge mover for us, certainly not in 2017 but again the office guys, I don't anticipate any sort of bankruptcy there, but I do think there is pressure from their perspective to reduce store count and that will be part of the shadow supply that we’re looking at and then I think we’ll be looking at some pressure to shrink those stores. But it's pretty much that did the same list that we've been looking at for the last 24 months.
George Hoglund: Okay. Thanks.
Operator: From Boenning we have Floris Van Dijkum. Please go ahead.
Floris Van Dijkum: Great. Thank you. Drew, I wanted to get your view on JVs. I noticed that you sold the couple of your JVs. How do you think the company is position towards JVs? How do you see that developing over the next couple of years?
Drew Alexander: Good morning, Floris. So, every JV is different. In the history of the company we've done many, many going back to the 1950s with all sorts of different entities, public universities, pension funds; wealthy individuals et cetera, great reputation with lots of our partners. So the particular assets that were sold was just one of those ventures that had reach the time where they wanted to harvest things, so we sold some of those. Those are principally older smaller assets, a lot of them going back to before our IPO. As you may recall one of our big acquisitions last year was the 2200 Westlake property in Seattle that Johnny spoke about which is incredible property with a great whole foods right by the Amazon’s world headquarters and we did that with one of our pension fund contacts that we have a great relationship with the Dutch pension fund that we owned some other centers with and in the right circumstances we certainly do more. So, the industries feelings about joint ventures that sort of have been flowed over the years, our position has always been pretty consistent that if we can get paid fairly for our platform it’s something that we’re certainly open to. But we believe that the quality that we bring to a center doesn't come cheaply and it has to make sense for both parties. So, I don't think they'll be a huge expansion in joint ventures in the near term, but it is certainly something that we would look at. I hear from capital sources that there's a lot of folks, lot of big money again the sovereign wealth in the foreign pension fund that would love to get substantial assets invested in our business, but in the typical shopping center size that we have it's harder for them. So it could be something down the road, but longer-term, yes, short term maybe not as much.
Floris Van Dijkum: Great. Thanks. One more question. As you think about sort the risks to your business for 2017 and 2018, how would you rank them and stacking up e-commerce sort of tenant bankruptcies rates et cetera, working on rising rates. What you think or what are the things that keep you awake at night?
Drew Alexander: Floris, I think one of the strengths of this company is that we worry about everything. We are thought of as very good operators, in a lot of cases even by the people who don't think well of us. So we you pay attention to everything you spoke about. Tenant quality, operational quality, physical facility, Steve and his team did a great job on the balance sheet and maturities. The diversity of our tenant base is good. So we really feel very good things and sleep very well at night. I used to say what keeps me up is my teenage kids but they’re grown now, but I still worry about them. So again it's a very diversified portfolio with a lot of necessity based, lot of service tenants that are very protected from an e-commerce threat. So we feel really very good about it, but you we monitor everything.
Floris Van Dijkum: Great. Thanks Drew.
Drew Alexander: Thank you.
Operator: From JPMorgan we have Michael Mueller. Please go ahead.
Michael Mueller: Hi. I get on the call little late, so I apologize if I miss this, but for the two Virginia developments when you anticipate selling the residential components. Is it after it's completed or substantially leased or once you start getting some traction going, How do we think about that?
Drew Alexander: Yes, Michael. It will be after they have stabilized and we further are comfortable that we have the operational issues basically figured out. As you can possibly imagine in this part of Northern Virginia as we talked about, it took seven years for the entitlements, the cities are very involved. And a lot of what the cities are trying to do is bolster the mass transit, so they actually restrict the amount of parking that we can do trying to keep it lower. So, we are also working with our experience and expertise and our friends at Kroger Harris Teeter to make sure that they can do all the receiving of the merchandise that they need, so they can have high-volume stores, obviously the [click pick] is important for them too, so we have to deal with the driveway so people can come through and pick up everything. So long story short, both of the projects are expected to be done in around 2020, and it might be a little bit after that that we put them on the market for sale because we want to make sure we have all the nitty-gritty details of receiving and track pickup and click pick up worked out because we think those are integral and important to the long-term viability and success of the project.
Michael Mueller: Got it. Okay. That’s all I had. Thank you.
Operator: And we have no further questions at the moment. We’ll turn it back to Drew for closing remarks.
Drew Alexander: Brandon, thank you, and thanks to everybody on the call. Good quarter, great year, confident we’ll do well in 2017. We got a couple of conferences coming up that will be represented and look forward to seeing many of you and we’ll be around today if there's further question. So thanks so much for your interest in Weingarten. Appreciate it very much.
Operator: Thank you ladies and gentlemen, this concludes today’s conference. Thank for you joining in. You may now disconnect.